Operator: Good day, and welcome to the Inuvo 2019 Year End Financial Results Call. Today‘s conference is being recorded. At this time, I would like to turn the conference over to Valter Pinto, Partner at KCSA.
Valter Pinto: Thank you, operator. And good afternoon. I’d like to thank everyone for joining us today for the Inuvo Fourth Quarter and Full Year 2019 Shareholder Update Conference Call. Today, Inuvo’s Chief Executive Officer, Richard Howe; and Chief Financial Officer, Wally Ruiz, will be your presenters on the call. I’d like to start by letting our listeners know that as a consequence of the COVID-19 pandemic, our office in San Jose, California is closed due to the stay at home order in place in California for California residents. And our Little Rock, Arkansas office is closed where we instituted a work from home policy to protect our employees and their families for potential virus transmissions among co-workers. We’re also in the process of completing our audit for 2019, and the results announced for fourth quarter and full year 2019 discussed today are preliminary, unaudited and subject to audit adjustments. While the audit of our year end numbers is substantially complete and we are issuing the unaudited earnings discussed today, the finalization of our audit and related Form 10-K has been delayed due to the impact of COVID-19. We’re currently in the process of working with our auditors on a remote basis to complete our audit and our internal and external review of our Form 10-K, including a more detailed assessment of the impact of COVID-19 on our business. We anticipate taking advantage of regulatory relief provided by the Securities and Exchange Commission and taking an additional 45 days to file our Form 10-K on an audited 2019 financial statement. I’m now going to review the company’s safe harbor statement. The statements in this conference call that are not descriptions of historical facts are forward-looking statements relating to future events, and as such, all forward-looking statements are made pursuant to the Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties, and actual results may differ materially. When used in this call, the words anticipate, could, enable, estimate, intend, expect, believe, potential, will, should, project and similar expressions as they relate to Inuvo, Inc. are as such a forward-looking statement. Investors are cautioned that all forward-looking statements involve risks and uncertainties, which may cause actual results to differ from those anticipated by Inuvo at this time. In addition, other risks are more fully described in Inuvo’s public filings with the U.S. Securities and Exchange Commission, which can be reviewed at sec.gov. With that, I’d now like to turn the call over to CEO, Richard Howe.
Richard Howe: Thank you, Valter, and thanks, everyone, for joining us today. For the 3 months ended December 31, 2019, we delivered $18.2 million in revenue, an increase of 32% sequentially and 7% year-over-year. For the full year, we delivered $61.5 million, which was down approximately 16% year-over-year. ValidClick and the IntentKey revenue in the fourth quarter was approximately $15.5 million and $2.7 million; and for the full year, $53 million and $8.5 million, respectively. Full year results were impacted by two factors. Firstly, we lost momentum within the ValidClick business during the roughly 8 month process associated with a merger that did not consummate. And secondly, we let attrite certain publisher technology revenue stream associated with the overall IntentKey reengineering activity, which occurred throughout 2018. ValidClick’s year-over-year revenue decline was roughly $11.2 million, while the attrition of publisher technologies was approximately $3.5 million in the year. These reductions were partially offset by the growth of the IntentKey in 2019. ValidClick revenue started to recover in the fourth quarter of 2019, delivering $15.5 million, an increase of approximately 14 - 4%, excuse me, over the same period in 2018. Gross profit in the fourth quarter and full year increased roughly 42%, and decreased 11%, respectively. Full year gross profit declines were principally associated with the year-over-year decline in ValidClick revenue. Fourth quarter gross profit increase reflects the earlier comment related to ValidClick recovery in that quarter and the contributions from strong revenue and gross margins within the IntentKey. Adjusted EBITDA in the fourth quarter was $47,000, which was up from a loss of $1.2 million in the year-over-year period. For the full year, adjusted EBITDA was a loss of $2.3 million compared to a loss of $1.4 million year-over-year. We had $991,000 of costs associated with the terminated merger mentioned, the majority of which occurred in the first three quarters of 2019. We had a number of things to be proud of in 2019 in spite of an overall revenue decline. The ValidClick strategy entering 2019 was to diversify its revenue with products that had both greater growth and margin potential. We believe we made strong progress here taking ValidClick’s primary partner from approximately 72% of overall company revenue to 64% on a year-over-year basis. Looking forward, our mission with ValidClick is to improve gross margins, net of traffic acquisition costs, and capitalize where possible on growth opportunities that might occur just in time. The ValidClick business has many positive attributes, not the least of which is positive working capital with low receivables risks. And because it serves the largest online marketing spend category, it can scale quickly when opportunities present themselves. We are currently pursuing a number of such opportunities in this quarter and as a result had forecasted single-digit growth within this business for 2020. The IntentKey had a terrific year delivering $8.5 million in revenue, with the second half of the year up 62% over the first half of the year. We saw gross margins in the business rise from 10% in January of 2019 to 46% in December. Fourth quarter 2019 gross margins averaged about 42%, and this has held up through Q1 2020 where we now expect the year-over-year IntentKey revenue to be up approximately 48%. We now count among our clients, industry leaders within insurance, automotive, health care, entertainment and travel, the latter two industries having been recently added in Q1 2020. IntentKey performance and retention of clients has been strong across the board. And we have increased our sales team from approximately four people in 2019 to a current count of nine salespeople. We continue to perform well against the competition for new business, in large part because we have proprietary marketing information, which is produced by the IntentKey AI data platform and, as we disclosed in the November 2019 IntentCloud press release, because we can respond faster than the competition can technically when we encounter online audiences that are suited to our clients’ marketing objective. Prior to the recent coronavirus outbreak, we had been forecasting modest growth within ValidClick and a doubling of the IntentKey business year-over-year. We had already messaged in July of 2019 that we had expected to burn roughly $150,000 a month on average through Q3 2020 when income and margins associated with the IntentKey over attained its operating cost on a run rate basis. We continue to manage to this overall objective, with a breakeven for the IntentKey occurring at approximately $3.5 million in quarterly revenue. Seasonally, Q1 is typically our weakest performing quarter, and as such, we are currently forecasting an adjusted EBITDA loss. We will discuss later how we have been supplementing liquidity ahead of the unknown longer-term impacts associated with the virus. As recently as mid last week, we started to see some virus-related activity among ValidClick suppliers and IntentKey clients. It is, however, still too early for us to predict with any certainty what will happen given this outcome depends in large part on how long it takes to eradicate the virus and how the government stimulus programs flow into the economy. In the case of the IntentKey, two marquee new clients signed in the quarter, one in the hotel business, the other in the airline business. Not surprisingly, both have paused campaigns that we had expected to deliver more revenue in Q1. Thus far, we’ve had only one existing IntentKey client reduce their short-term budget because of the virus. Now opposing these impacts, we have also seen a reduced cost of revenue associated with the IntentKey business following mandatory quarantines in California and New York. We believe this is the result of people staying at home, which has had the benefit of increasing the traffic to websites, and that, in turn, has decreased the cost of advertising on those websites. Overall, with March now almost completed, we are currently forecasting a modest reduction in our 2020 Q1 plan directly related to the virus. And as mentioned earlier, I do not have enough information yet to predict the longer-term impacts throughout 2020. We had plans for Q1 2020 to be roughly flat year-over-year. Generally, in times of economic contraction, we would expect marketing budget to decline. However, this current situation is unprecedented, and as such, we are taking a just-in-time approach to the management of our company. With that said, we have been proactive with respect to our balance sheet. Last week, we closed roughly $688,000 worth of insider purchases of our stock. I personally purchased $111,000 worth of that offering, and every one of our Board members participated. We also recently announced a refinancing of our receivables credit facility, which we believe should provide additional working capital throughout the year. Now like other companies in America, we are also exploring ways to trim operating expenses across the board while we wait to better determine the impact of the virus on the economy. Concurrently, we have already started applying for local, state and federal programs that may or may not materialize based on current congressional processes. Generally, in a sustained downturn, we might expect the IntentKey plan to be impacted more than the ValidClick plan, in large part because the market ValidClick serves currently has greater advertiser diversity as a result of the three large clients we have in that business. With that, I’d like to now turn the call over to Wally for a more detailed assessment of our financial performance for the year.
Wallace Ruiz: Thank you, Rich. Good afternoon, everyone. I’ll recap the financial results of our fourth quarter and full year 2019. As Rich mentioned, Inuvo reported revenue of $18.2 million for the quarter ended December 31, 2019, and $61.5 million for the full year of 2019. This compares to $17 million reported in the fourth quarter of last year and $73.3 million reported in the full year 2018. The revenue increase of approximately $1.2 million in the fourth quarter year-over-year was primarily due to IntentKey revenue growth and to about $0.5 million increase in the ValidClick business year-over-year, offset by the attrition of revenue associated with the supply side of our business, which I’ll comment on in just a moment. The revenue decrease of approximately $11.8 million in the full year 2019 was principally due to the ValidClick business. As mentioned earlier, we invested resources and capital throughout the first half of the year on integration planning associated with the merging of the company. The merger was terminated in June 2019. Additionally, ValidClick monetization was lower earlier in the year as a result of lesser quality advertising supply from our primary partner. Further, we made and announced the decision last year to reduce emphasis on the supply side of the business in favor of focusing IntentKey resources and capital on the demand or advertiser side where the IntentKey data platform reengineering in 2018 was designed to have its market advantage. This change resulted in a reduction of revenue in the current year fourth quarter of over $500,000 compared to the same quarter last year and $3.5 million for the full year of 2019 compared to the full year of the prior year. Gross margins increased in the fourth quarter to 70% compared to 53% in the same quarter last year due primarily to revenue mix, particularly due to the higher ValidClick display revenue where we recorded cost as marketing cost in the operating expenses. Overall operating expense are comprised of marketing costs, compensation and selling and general and administrative expense. Operating expenses were $3 million higher in the fourth quarter of 2019 compared to the prior year. That is, it was $14.1 million in the fourth quarter of 2019 versus $11.1 million in the same quarter last year - or the prior year. Marketing costs are primarily traffic acquisition costs associated with ValidClick. Marketing costs were $3.3 million higher in the fourth quarter this year compared to the prior year due to higher ValidClick revenue in 2019. ValidClick revenue is generated predominantly from ads served to websites and therefore has a small cost of revenue associated with it as the expense is mostly marketing or traffic acquisition costs and is recorded as an operating expense. Compensation expense was $248,000 higher in the fourth quarter this year compared to the prior year despite a lower payroll. That is due to higher stock-based compensation expense that accrued from modifications through outstanding restricted stock grants and to a reversal of an accrued incentive pay in the fourth quarter of 2018. The full time headcount at the end of December was 61 compared to 63 in December of the prior year. Selling, general and administrative expense decreased $534,000 in the fourth quarter this year compared to the prior year due primarily to expenses incurred in 2018 arising from the merger agreement, which we terminated in June 2019. Interest was $29,000 of income in the fourth quarter of 2019 compared to $124,000 of expense in the same quarter in the prior year due primarily to the evaluation of the amortization of the convertible note original issue discount and to the associated derivative. This was partially offset by higher borrowing rates in 2019. We had other income of $92,000 in the fourth quarter of this year due primarily to a settlement with a customer. Other income for the full year 2019 of $3.4 million was primarily due to the termination of the merger agreement in June 2019. And the resulting termination fee that we’ve received, that was composed of canceling a $1.1 million note outstanding, including interest. Additionally, the assets and customers of our business initially valued at $1.6 million was transferred to Inuvo. And finally, we repaid 50% of a $250,000 settlement for a class action suit that had resulted - that was filed as a result of the merger. We subsequently had an independent third-party valuation performed on the transferred business, and it was assessed at $2.6 million. The greater value that was determined than what’s originally received in the merger termination fee was credited to other income. We recorded a tax benefit of $334,000 in the fourth quarter of 2019, primarily due to the change in the deferred tax liability. We reported a net loss of $859,000 or $0.02 per basic share. Our balance sheet at December 31, 2019 had cash and cash equivalents of $373,000, and it also had outstanding bank debt of $3.4 million and notes of $537,000. Subsequent to year-end, we had a number of events that impacted the balance sheet. In January, a convertible noteholder converted $360,000 of principal amount due into 1.2 million shares of our common stock. After this conversion, $315,000 of the original principal remains outstanding under all convertible notes that we had issued. On March 12, 2020, Inuvo closed a loan and security agreement with Hitachi Capital America Corp., replacing the existing facility with Bridge Bank. Under the terms of the agreement, Hitachi provided us with a $5 million line of credit. And with more availability than our prior facility, we can now borrow up to 90% of the aggregated eligible receivables and up to 75% of the aggregated uninvoiced accounts receivable. On March 20, we closed a private placement of common stock to our company’s directors, as Rich mentioned, receiving $688,000. In March, we also closed an agreement for the use of our ValidClick platform for $1.5 million, of which $500,000 was received in March. With that, I’ll turn the call back over to Rich for closing remarks.
Richard Howe: All right, Wally, thank you very much. Operator, I think we can turn it over to questions and answers now.
Operator: [Operator Instructions] We will go for our first question from Eric Martinuzzi of Lake Street.
Eric Martinuzzi: Congrats on the good finish in Q4. Obviously, it feels like a long time ago now, I’m sure, given the recent events, but it certainly should be recognized the hole you guys were in post-conversion point and then what you accomplished subsequent to that. So I want to recognize that. I do have a question about the recent happenings as far as the outlook for Q1, though. I thought I’d start with March 16 when you talked about the IntentKey expectation for a 50% increase, and then today, the expectation is 48%. Is that due - specifically due to the two customers who you signed in March and then who paused in March?
Richard Howe: Yes. Yes, Eric. So it’s a combination of the three things I mentioned that have happened, since the virus, for us. Those two clients, one of them hadn’t even started, okay? So just so we’re clear on that, but we expected them to. They were the airline client. So there’s probably no surprise there given what’s happening with the airlines. The other one was a hotel chain. And they had started - just recently started when, of course, the virus sort of propagated, and they sort of paused their campaign. And then we had one other client, like I said in my script, who didn’t stop or pause their budget but did reduce their budget just kind of waiting and seeing. And so the combination of those things, some of them happening - at least one of them happening after we first announced the 50%, caused us to redo the math. And at this point, with our current forecast, we’ll do 48%, so we gave the number we think it’s going to be at this point.
Eric Martinuzzi: Okay. And then I wanted to better understand the issue on the ValidClick side of the house. You talked about a number of suppliers, potential impact from a number of suppliers. Is this reduced traffic or a shift in the mix of traffic at these publishing partners?
Richard Howe: Yes, it’s traffic-related. So again, the coronavirus has an effect on, I guess, the entire business value chain in America right now. And we have people that we work with, and they, themselves, are starting to figure out what to do and not to do in light of the changes going on. So we haven’t seen a lot of disruption there yet as is evidenced by the fact that we stated we’re pretty much where we thought we would be on our plan overall for Q1. So most of my commentary are related to unknowns at this point that may or may not materialize in the next quarter or two, depending upon what happens.
Eric Martinuzzi: But specifically, are these publishers unable to publish the normal content they do due to maybe their own workforce issues? Or is it something you decide?
Richard Howe: Yes, I think it’s generally the same issue for them that is the issue for just about every, I guess, smaller business in America right now. They’re thinking about how they should cut staff, which reduces focus. They can’t publish content. They can’t drive advertising, right? These are all it, the whole thing, Eric.
Eric Martinuzzi: Okay. And just to recap, you said the guidance for Q1, your expectation was to be flat. But I don’t know, is that what you’re thinking, and that’s not going to happen or that’s what you’re thinking and that may happen with six days to go?
Richard Howe: No, I think we’ll be pretty close. Wally can comment better on this, but I think we’ll be pretty close to flat year-over-year, which is where we want it to be. We’re only down 1% or 2% off of what our internal plan was for 2020, recognizing that our first quarter is always our weakest quarter and recognizing that in 2018, we had revenue streams that we had discontinued, right? So just - so flat year-over-year was good for us coming into 2019 - 2020, excuse me. I still think we’re pretty close to that, and I think we’re a percentage or 2 percentages off of it. I don’t know what last year was, I’ve forgotten, but maybe Wally knows what last year’s Q1 was.
Eric Martinuzzi: Wally, would you care to comment? Is it 15.265?
Wallace Ruiz: Yes.
Richard Howe: That’s it.
Eric Martinuzzi: Okay. So I wanted to focus on the operating expense side. It sounds like you had some progress adding salespeople. I think you said you were at four finishing out 2019, and you’re currently at nine. Do I have those numbers correct?
Richard Howe: That’s correct.
Eric Martinuzzi: Okay. And then the intent here, given what’s happened in the last couple of weeks, are you going to pause there? Do we continue to kind of invest into the headwind? What’s the strategy on sales hiring for IntentKey?
Richard Howe: We’ve held hiring across the company. At this point, we’re not hiring anybody across the company until we, like everybody else, see what’s going to happen in the market. So the answer is we had planned - well, maybe I’ll say it differently. We hired a person in March, which brought us up to nine, and we had planned on hiring another salesperson in June, July and August. And at this point, we have put all hiring on hold.
Eric Martinuzzi: Okay. As far as cost measures, I understand you throttled back on travel and people are working from home, but have there been any - is the headcount unchanged since you first started taking those measures?
Richard Howe: So far.
Eric Martinuzzi: Right. And lastly is on kind of share count and balance sheet, some housekeeping items. The share count, I think, exiting the year was 46 - at 46 point something, and then we did sell shares here in March. So as far as kind of a pro forma shares to use for the second quarter and the third quarter, Wally, do you have a ballpark there for me?
Wallace Ruiz: Yes. So figure is about 57 million shares outstanding. And at this point, other than RSUs that are - that divest in the future, probably bring it to 57.5, 57.75, something like that, by the end of the year.
Eric Martinuzzi: Okay. And then the last question for me on the cash - current cash situation. You talked about being - I think you said negative adjusted EBITDA for Q1. Cash is pretty tight as it stands. I know you did do the $688,000 raise.  But where do we come out on cash kind of pro forma exiting Q1? You got the influx from the insiders, but we also burned a little bit. What’s the expectation for March 31?
Wallace Ruiz: Yes. So the expectation is to have cash relatively flat from December. And the available cash that we have is used to run the business and keep that as low as possible. So as long as we have availability on our credit line, we can continuously keep cash flow and pay off existing debt.
Eric Martinuzzi: Understand. Okay, I appreciate it. Thanks for taking my questions.
Richard Howe: Thank you, Eric.
Operator: Our next question comes from the line of Darren Aftahi of Roth Capital Partners.
Unidentified Analyst: Hi. This is Dillon on for Darren. Thanks for taking my question. First one for me, have you been in direct contact at all with some of your bigger advertising partners as far as what they’re seeing in the advertising space and how that can sort of relate to contextualizing the environment going forward? I mean I guess that it’s pretty fluid, just trying to see what kind of visibility you have with sort of where advertising may or may not be pulling back. And then as a follow-up, on IntentKey, have you seen any sort of new contextualization across your customers given, I guess, towards the dynamics around the virus outbreak, maybe what behavioral patterns or new targets given sort of search habits?
Richard Howe: Okay, Dillon. So we haven’t met, so pleasure to meet you. So let me talk a little bit about advertising pullback. So the answer to that is we haven’t seen a lot of it other than the ones I mentioned. And like I said, the ones I mentioned, particularly the airline and the hotel chain, are kind of obvious first-line impacted by the virus. We are in conversations with all of our advertising partners on a regular basis. I guess the good news is we don’t have a high concentration in travel and entertainment other than the clients I just mentioned, so that’s a good thing. However, like I said in my script, I think marketing is always kind of a leading indicator through a recession, hopefully, we won’t have a recession. So if things did go poorly, and the U.S. economy started to slug down, I think, yes, I think we would probably start to see pullback in advertising budgets, I think that happens universally. I’m not sure I can add to the issue of intent online. I don’t think anything’s changed with regard to, let’s say, the way the technology handles people’s interests online other than there is definitely an increase in volumes online. So clearly, people who are at home now are spending more time than they would normally in their workplace on the Internet, either doing searches or reading content or visiting their favorite sites, and we are definitely seeing that occur.
Unidentified Analyst: Got it. Thank you. And then I guess last one. Of the incremental sales force that you’ve hired like the one in March, how quickly can they get up to speed into sort of helping build some of the funnel?
Richard Howe: Yes. So the way our experience with salespeople has gone with respect to the IntentKey, generally, Dillon, follows - kind of following high-level path. For the first three [ph] months of their tenure with us they don’t really close any business. So they’re effectively getting trained and learning and trying to figure out who to target within their clients they already know or any new clients that we’re finding for them. They start to deliver results in the next six months, but it’s not massive amounts of money. And then it gets better in the next three month or the nine month period, and then it gets better in the 12 month period. We do have a quota that we assigned to our salespeople, and that quota runs -- about $1.5 million annually is what we assign.
Unidentified Analyst: Got it. Thank you.
Richard Howe: Thank you, Dillon.
Operator: Ladies and gentlemen, that concludes the question-and-answer session. I would like to hand the call back to Richard Howe for any additional or closing remarks.
Richard Howe: Thank you, operator. And I’d like to thank everyone who joined us on the call today. We appreciate your continued interest in our company.
Operator: Ladies and gentlemen, that concludes today’s conference call. Thank you for participating.